Executives: Glenn P. Barba - Chief Accounting Officer, Vice President, Controller, Chief Accounting Officer of Consumers Energy Company, Chief Accounting Officer of CMS Enterprises, Vice President of Consumers Energy Company and Vice President of CMS Enterprises John G. Russell - Chief Executive Officer, President, Director, Chairman of CMS Enterprises, Chief Executive Officer of Consumers Energy Company, Chief Executive Officer of CMS Enterprises, President of Consumers Energy Company, President of CMS Enterprises and Director of Consumers Energy Company Thomas J. Webb - Chief Financial Officer and Executive Vice President
Analysts: Ali Agha - SunTrust Robinson Humphrey, Inc., Research Division Greg Gordon - ISI Group Inc., Research Division Brian J. Russo - Ladenburg Thalmann & Co. Inc., Research Division Mark Barnett - Morningstar Inc., Research Division Paul T. Ridzon - KeyBanc Capital Markets Inc., Research Division Paul Patterson - Glenrock Associates LLC Kevin Cole - Crédit Suisse AG, Research Division Andrew Levi Andrew M. Weisel - Macquarie Research
Operator: Good morning, everyone, and welcome to the CMS Energy 2013 Results and Outlook Call. This call is being recorded. Just a reminder, there will be a rebroadcast of this conference call today, beginning at noon Eastern Time, running through February 6. This presentation is also being webcast and is available on CMS Energy's website in the Investor Relations section. At this time, I would like to turn the call over to Mr. Glenn Barba, Vice President, Controller and Chief Accounting Officer. Please go ahead.
Glenn P. Barba: Good morning, and thank you for joining us today. With me are John Russell, President Chief Executive Officer; and Tom Webb, Executive Vice President and Chief Financial Officer. Our earnings news release issued earlier today and the presentation used in this webcast are available on our website. This presentation is made as of today and contains forward-looking statements, which are subject to risks and uncertainties. All forward-looking statements should be considered in the context of the risks and other factors detailed in CMS Energy's and Consumers' SEC filings. These factors could cause CMS Energy's and Consumers' result to differ materially from those anticipated in such statements. This presentation also includes non-GAAP measures when describing CMS Energy's result of operation and financial performance. A reconciliation of each of these measures to the most directly comparable GAAP measure is included in the Appendix and posted in the Investor section of our website. Now I would turn the call over to John.
John G. Russell: Thanks, Glenn. Good morning, everyone. Thank you for joining us on our 2013 Year-end Earnings Call. I'll begin the presentation with a few comments about the quarter before I turn the call over to Tom to discuss the financial results and the outlook for 2014. Then, as usual, we'll close with Q&A. 2013 adjusted earnings per share were $1.66, which was the top end of guidance, and 7% over last year's actual results. Last October, we introduced 2014 earnings per share guidance of $1.73 to $1.78. Today, we are tightening our guidance to a range of $1.74 to $1.78 per share, up 5% to 7% over last year's actual results. Last week, our board approved a 6% dividend increase, the eighth consecutive increase in as many years. The new dividend of $1.08 per share results in a payout ratio of 62%, which is in line with our peers. 2013 was another strong year for CMS Energy, and the 11th consecutive year of consistent and editable financial result. On this slide, you can see how our recent performance continues to meet or exceed the guidance we have provided. Over the last 4 years, we have guided to 6% earnings per share growth, on average. However, our actual results have been 7%, each year growing off the prior year's results. With our large inventory of capital projects and our aggressive cost reductions, we expect to continue to grow earnings per share at 5% to 7% over the long term. This winter's extreme weather has been affecting both our electric and gas businesses. Through windstorms, ice storms and snowstorms, our system and our employees have responded to the challenge. Our generation fleet performed very well in 2013, setting the best E4 rate in a decade. This demonstrates that the investments that we have made in our generating plants are providing reliable service for our customers and adding value for our shareholders, and our company's sustainability index is in the first quartile. In December, Governor Snyder delivered his energy address, laying out his vision for "No Regrets" energy future by 2025. His goals call for an emphasis on eliminating energy waste and replacing coal with newer, cleaner technologies like natural gas and renewables. I believe that 2014 will be a year of discussion and debate on Michigan's energy future. And I expect 2015 will be the year for legislative changes for the 2008 energy law. Last fall, we issued an RFP requesting bids to purchase in existing power plant in lieu of building the Thetford natural gas plant. Today, I am very pleased to announce that we have agreed to acquire a 540-megawatt gas plant in our hometown of Jackson and suspend the certificate of necessity process. I'll provide you more details of that in a minute. I mentioned the winter weather we've been experiencing. Here's how our gas system responded. On January 7, the average temperature in our service territory was negative 6 degrees. On that day, we set 3 records, including peak hourly throughput and sendout. We delivered over 3 billion cubic feet of gas that day, nearly another record. During this time of extreme cold, the system performed very well with limited service interruptions and no safety incidents. Our underground gas storage system, one of the largest in the country, provided 70% of the gas delivered and set a 24-hour record. As you know, our gas system is the fourth largest in the United States, serving 1.7 million customers. It continues to deliver value to our customers and respond when needed the most. Over the next 10 years, we plan to invest $5 billion in our gas infrastructure and continue to meet the demands of our customers safely and reliably. On the electric side. The weather took its toll on our electric system. In November, we experienced a catastrophic windstorm; and in December, we experienced a major ice storm, covering poles and wires with up to 1 inch of ice and 0.5 foot of snow. The December 21 ice storm impacted the most customers, brought down the most wires, required the most crews and cost the most of any winter storm in our company's 126-year history. Crews from 13 states and Washington, D.C. worked around the clock to restore power. Let me take a moment to thank our customers for their patience while service was being restored. And let me also thank our dedicated employees, mutual assistance crews and contractors who worked around the clock to restore service in very difficult weather conditions and during the holiday week. Last December, the governor set his goals for a "No Regrets" energy future by 2025. The governor said that Michigan needs an energy policy that insures adaptability, reliability and affordability while protecting the environment. He also believes we should have reasonable and achievable goals for 2025. The governor's goals are consistent with our strategic initiatives and investment plans. Our balanced energy approach promotes fuel diversity and allows us to deliver the best value to our customers. Our reliability investments continue to improve service. And we are focused on driving down the frequency of outages and reducing the duration. Residential customer bills are competitive. And our fuel purchasing strategy, with our current rate case stay-out, help overall prices. Finally, we continue to move towards more clean power and increase our renewable energy portfolio. I would like to highlight what the governor made public following his address. Concerning the topic of retail open access and deregulation, the governor stated that he believes the current structure allows customers to bounce back and forth depending on price, and in his words, arbitrage the markets. The governor is focused on the bigger picture. How do we help industrial customers be competitive in a global market? Our view is that retail open access only helps a select few, 0.02% of our customers. The remaining 99.98% of our customers are left to absorb the cost. Right now, the elimination of ROA could reduce all industrial rates by 10%. We will continue to focus on ensuring that decisions affecting energy policy are in the best interest of our customers, our company, our shareholders and the communities we serve. As I mentioned earlier, we have reached an agreement to purchase a 540-megawatt combined cycle natural gas plant in our hometown of Jackson. This outcome was the result of several planned actions that helps us achieve our goal of providing the best value for our customers and for our shareholders. By announcing the retirement of 7 coal plants, we knew we had a capacity shortfall to fill. The CON process allowed us to explore the potential of building, but always allowed us the option to buy. Now, we will suspend the CON process and put the Thetford plant on hold. We plan to close on the new gas plant in late 2015 subject to regulatory approvals, which times well with the retirement of the coal plants in early 2016. We will be replacing 950 megawatts of coal with 540 megawatts of cleaner gas-fired generation. Last December, the MPSC approved our application to securitize the book value of the 7 coal plants, along with 3 other gas plants presently in mothball status. The $389 million of securitization bond proceeds will help lower customer rates. And the savings generated from buying versus building will create additional headroom to invest in other needed projects. You can see on this slide how we backfill the capital savings from buying versus building. Over $0.5 billion will be reinvested back into the electric and gas business. Our customers will benefit by adding capacity when it's needed at a very competitive price. Our investors will benefit from lower risk, the redeployment of capital, more certain growth and, as we have been saying for years, no block equity is needed. I also want to take a minute to thank Tom Web, Jack Hanson, Jim Brunner, and our advisor, Wells Fargo, for their hard work in negotiating this acquisition. 2014 starts like previous years with a rededication to our safety performance. Without a relentless focus on safety, we will not deliver results. Our focus on productivity and sustained cost savings continues. Our employee engagement remains in the first quartile for the second year in a row. Our regulatory strategy continues to be focused on a rate case stay-out until the 2015 test year. This is good for our customers and less risk for our shareholders. Over the last few years, we have been focused on customer value and satisfaction. For 2014, we look to move our satisfaction scores into the first quartile of peer utilities. 2014 offers us the opportunity to deliver our 12th year of consecutive financial performance. Our year-over-year growth, based on actual results, continues to be better than our peers. Now let me turn the call over to Tom, for a close look at the 2013 results and the 2014 outlook.
Thomas J. Webb: Thank you, John. Let me add my thanks to everyone for joining us today, we deeply appreciate it. Our reported and our adjusted earnings were the same. And at $1.66 a share, that's the first time that they've been the same since 1997. This is another nice sign of reliable, predictable results. And year-to-year EPS growth was up 7% again this year. As shown on the left oval, the 7% increase reflects favorable weather and good sales performance at $0.21, offset partly by catastrophic storm costs and strong reinvestments at $0.19. As you can see in the second oval, our rate case is aligned with planned investments. And as shown on the final bar, our O&M cost savings, worth about $0.10, they flowed through right to the bottom line. This creates a fast start to avoid the gas and electric rate cases in 2014. Now recall a full year ago, in 2012, we had to work hard to offset a warm winter early in the year and then we were able to take advantage of a hot summer to invest more for our customers and deliver a 7% increase in earnings. For 2013, the year provided lots of opportunity to reinvest, $58 million, in fact, more than planned just in the first 10 months. We then had 2 extraordinary storms, wind in November and ice in December. But even with the worst ice storm in 126 years in the last quarter, in the last month and in the last week of the year, we met our numbers. We offset $37 million of storm-related O&M costs with insurance, lower-than-hoped charitable contributions and the favorable side of cold weather. We delivered for our customers and our investors. And this commitment to operational and business performance has worked over the last several years. Up and down, it's different every single year. What's not different is that we delivered every year, maximizing business performance for customers and investors. It takes a strong well-aligned management team to drive the continuous improvement to make this possible. Welcome to CMS. With that continuing commitment, here's the final report card for 2013, all targets met. For 2014, we've provided guidance last year in our Investor Day in Grand Rapids and already have raised the low end of the guidance by $0.01 to a range of $1.74 to $1.78 or up 5% to 7%. Utility and all businesses are up from 2013. Although it's pretty cold here today, normal weather and storms is what we forecast and our investments are self-funded, primarily with robust cost reductions. We're grateful that the Public Service Commission supported our proposal to avoid rate cases in 2014. That's not a freeze -- it's not a freeze where we would just ask for big increases but later on. We've self-funded the 2014 planned investments, keeping rates low. In addition, purchase of the Jackson gas plant instead of new construction saves $0.5 billion, and securitization of our small coal plants will add to that savings. Imagine, we have reduced costs sufficient to avoid a $49 million gas rate case and a $100 million electric rate case. This all comes from our long-used business model. It's not changed, it's working well. And there are many upside catalysts ahead. So let's look at just a few of them. The core driver is our substantial investment need, catching up on improvements in productivity and customer reliability. We have opportunities to spend $20 billion over the next 10 years and that's 3x our market cap. But we do have all in nice bite-size, no bet-the-planet ideas. We've included $15 billion in our plans, limited only by our passion to keep customer rates and bills down. Even after pulling ahead $545 million of investment that John mentioned, investment in gas infrastructure, Smart Energy and electric reliability, as well as reinvesting almost $390 million in the gas business after securitizing coal plants, we have $5 billion of investment opportunity that's not in our plans. For example, as major PPAs expire, we'll need to invest more in capacity, a major priority for our customers. Controlled owned capacity provides flexibility to optimize performance for our customers. As we continue to drive down risk and strengthen the balance sheet, the rating agencies have acknowledged our progress with stronger credit ratings last year. And we may have an opportunity for even further upgrades. Sales may be better than others as Michigan continues to grow, particularly in our service territory. As shown on the top left of this slide, key economic indicators like GDP growth and unemployment in our major service area are stronger than Michigan and in the U.S. We anticipate sales growth of about 1.5% this year. 2013 growth was flat excluding 1 special rate class, called E1, where we make no margin. Including E1 this year, sales growth would be about 1.5%. Excluding recovery in that class this year, our growth would be a little less than 0.5%. Over the next several years, we've planned conservatively at less than 1%. We prefer upside surprises and not downside. Our EPS growth is not, however, dependent on strong load growth. Our growth is based on needed investments and solid productivity. Low growth over and above our conservative estimates could be another catalyst and we haven't factored this into any of our plans. Our plans regarding capacity prices also remain conservative. As most of you know, we have 700 megawatts of gas IPP units in Dearborn. John likes to call these our race car waiting in the garage. Should capacity prices rise to, say, $4.50 or $7.50, earnings could rise $30 million to $50 million above levels today. As you know, there's a chance that we could return to full regulation in a year or 2, as John described. Should this occur, any approved fixed cost coverage deployed over all our industrial customers, their rates would go down more than 10%. If this were spread over all customers, rates would go down 4%. Nice improvements. Policy does have big impacts on competitiveness. And we're doing the things that we control. We're driving our costs down every year to improve our customer rates and investor performance. Excluding the 2 catastrophic storms in November and December, our costs were down 3% last year and they'd be down 6% this year. With plans to further reduce costs about 2% a year, we continue to improve our competitive position. Over the last couple of years, we reduced headcount by about 1,000 people, largely through attrition, and hired 600 folks and that saved us $64 million. Looking ahead, our O&M costs will be down more than $100 million by 2017 compared with 2013. That's down more than 10%. Our changes in fuel mix and benefit sharing alone will cover this improvement. Of course, there are many other ups and downs as we deploy resources where needed and cut costs where not. Our drive to improve quality and customer satisfaction eliminates waste from fewer uncollectible accounts, less delayed service due to part shortages, faster dispatching with Smart Energy and more reliable scheduling. This all-out effort to improve customer quality drives costs out and that improves customer bills and customer satisfaction. Each of these catalysts is big and important. They're driven by a mindset to focus on customers and investors. For us, they fit perfectly together and make us a healthy company. Our investment-driven model is not unique, but we work it well enough to improve our operating cash flow by about $100 million each year, and in some years, we've exceeded that substantially. We essentially self-fund our growth with no need for block equity on the horizon. As a percent of the market cap, our spending levels do exceed our peers, but as a risk-adverse company, so does our operating cash flow and liquidity and this is a nice place to be. We are, however, far from perfect, so here's our sensitivity chart to help you assess our prospects. And here is our report card for 2014. Obviously, with the Arctic blast in January, we'd be well ahead of guidance. We will, however, likely put the surplus to use with either more reliability work for our customers should that surplus hold up. So the mindset for customers and investors worked well for us. We're in our 12th year of premier earnings and dividend growth. Last week, we increased our dividend again, up 6%. Thank you very much for your interest and for joining us today, and we'd be pleased to take your questions.
Operator: [Operator Instructions] And our first question is from the line of Ali Agha from SunTrust.
Ali Agha - SunTrust Robinson Humphrey, Inc., Research Division: A couple of clarifying questions. First off, with regards to the CapEx, which now that you moved from build to buy, is it fair to say that the CapEx over the next couple of years remains the same or is there a tightening potential given be the changes that you've provided here.
Thomas J. Webb: No, they're pretty much the same. Now there's going to be a little bit of movement around, but we have the flexibility to pull so many things ahead. Remember what John mentioned, more reliability spending, that'll be right upfront. Accelerating the smart meters that we're planning to do, that'll come in over the next couple of years. The gas infrastructure money will flow in on top of what we'd already planned to do. So the good news is we were going to be spending a little bit of money earlier and now we're going to actually be paying for a cheaper plant a little bit later. But we've been able to kind of smooth it all out. So I don't think you're going to see much difference, certainly, if you group together 3 or 4 years, but even in any individual year, about the same.
Ali Agha - SunTrust Robinson Humphrey, Inc., Research Division: Okay. And John, with regards to your thoughts on how the electric energy law may change in 2015, given what you're hearing and from your experience, what's specific changes do you think take place in 2015 when that does happen?
John G. Russell: It's difficult to project what's going to happen, but there seems to be an interest, at least with the governor's energy policy, about doing more with renewable energy, ensuring that energy efficiency continues or as he said, which I like the term, not wasting energy, and I do think there's going to be a good debate about retail open access. I do -- I'd give you some news that I found out last night, that representatives, the house representatives, that initiated that bill, represent us here in Jackson. And yesterday, the Jackson City Council voted to oppose with a resolution, that bill. So that it does show, I think, that there is some pretty strong pushback to that bill, including in their own district, which I thought was a positive. So it's hard to tell. I think the discussion will go on. But one of the things that's going to be balanced here in Michigan is that we need to think about this in a reasonable fashion. And one of the things that the governor talked about is setting goals that are achievable and reasonable, so not the goals that are out there too far.
Ali Agha - SunTrust Robinson Humphrey, Inc., Research Division: Okay, John. But is it realistic to think that a retail open access may completely go away? Is that a realistic outcome, you think, in '15?
John G. Russell: Yes, I think that is possible. I mean, as Tom and I showed in the presentation. 0.02% of our customers are benefiting and 99.98% of our customers are not. So at the end of the day, when you think of legislation, it should be for everybody's good. And if industrial rates are what the target is for the governor to reduce industrial rates, we could reduce those rates by 10%, which is a significant reduction. And many of the customers that are taking retail open access today are not your big users of energy. There are a few, but a lot of them are commercial accounts. So I think -- yes, I think we are ripe for that discussion. And I think we should have it. And I think personally, if you look around the country as you have, the trend towards deregulation is not getting any traction. The majority of the states that started it have gone back and those that haven't are in a position today of wondering where their generation will be coming from in the future.
Ali Agha - SunTrust Robinson Humphrey, Inc., Research Division: Last question. Tom, you alluded to the extremely cold weather we've seen so far this year. Any sense, can you give us some of qualification of what that has meant for you so far?
Thomas J. Webb: It's cold and I've got a cold from it and that's a qualification that I've given -- quantification. And it's been hurting me for the last week. But no, we're not going to put numbers on it. Suffice it say, when we have temperatures this cold, you know they're pretty big numbers. And the reason we're not going to toss numbers on it right now is weather is fickle. We could end up having a very normal or mild-ish rest of the winter and eat that up. But if we don't, remember what we do, we are very predictable. As we get through the year, and we think it will hold, we'll put that money right back to work for our customers. So if we can do more reliability work or if we can find some pull-aheads on productivity, we'll make good use of it, that I promise you. Now we might not do that all in the very first quarter, we'll see how it plays out, but we'd certainly get going on it in the second quarter. So yes, pretty big numbers coming up, but I just wouldn't want people to get excited and start thinking about bigger year-end numbers because we'll make good valuable use of the resource.
Operator: And the next question is from the line of Greg Gordon of ISI Group.
Greg Gordon - ISI Group Inc., Research Division: Just couple of questions. I mean, you guys have done an absolutely fantastic job of earning to the high end of your expectations the last few years. And as I look at your presentation, it seems to me that for you to continue to do that, and it seems it does seem achievable, you have to start identifying the ability to sort of get to that $20 billion capital number in ways that are mutually beneficial for customers and investors, i.e., by keeping rates down. So what are the milestones that we should look for as investors over the next year that you're going to be sort of looking forward, just sort of identify that incremental $5 billion of opportunity in a cost-effective way for the customer.
Thomas J. Webb: So Greg, the way I would look at this, if I understood your question properly, is that we really don't need to go beyond the $15 billion, so it's $7 billion in the next 5 years and $8 billion in the following 5, so over a 10-year period. If we stay on that course, we think we're in a pretty good place to be able to deliver that kind of earnings and cash flow growth right on through. So that's a nice place to be. The advantage that we have is every single time we find a way to reduce our capital spending like we just smartly did on the capacity site by buying our capacity much cheaper than we could build it, we can pull ahead some of that money. And all those are valuable things because it gives us either more productivity or more reliability or better programs for our customers, so we're keen to pull in as much as we can because we'll be a healthier company. But we don't need to. And the reason we don't -- and I know you know this well, so forgive me for repeating it, but the only reason we don't is if we inflated that number above $15 billion, we're going to see more pressure on our rates going up. And we very much want to hold our rates down. And we just think going higher than inflation, for example, and we think we can beat that handily incidentally, but going higher than inflation is just the wrong thing to do for our customers on rate growth. So if we could find a way, we need to keep them flat. I don't think we can get there. We're doing it this year in 2014. But we'll make every effort to range [ph] well below inflation in the future. So I view it as upside, but not necessary beneath that growth that we've talked to you about, at least for the next 10 years.
Greg Gordon - ISI Group Inc., Research Division: Great. And my second question was on the -- sort of any milestones that we might look for that would allow you to achieve the operating leverage you talked about on Page 28 with the big plant? I mean, what would have to happen for you just to realize some or all of that $35 million to $55 million? And I'm assuming those are pretax numbers, is that correct?
Thomas J. Webb: Those are. So that's the race car in the garage kind of thing. John doesn't like to say it, but he loves to say it so much. I even originally put in a Ferrari in here, but he was looking for something more descriptive, I think. All we need to do is see those capacity prices and away we go. As you know, and most people know, we have not put long-term contracts in place at the big operations purposely. As capacity prices fell away to near nothing and have not yet restored, we just think it made no sense to do that if we could structure our business in a manner that we could actually make money on it, which we do today, because we do have some short-term contracts and we do have agreements with our customers and suppliers around use of blast furnace gas and things of that kind. That allows us to be very efficient with these plants and make a little bit of money and be patient. As capacity prices come up, I promise you we won't be greedy and we won't wait and try to get to a peak of $7.50 or something like that, but we'll start layering in some contracts and take advantage of this. So I'd say it's a matter of patience. There are some people that don't think that capacity markets will come back for a few years. Obviously, the people that sold us the plant we just bought think that. But there are other people that think that there's some pressures coming up in and around with the coal closures and the like around 2016 that may create physics, that something will need to happen. And if it does, this is one place we're in a good position to get a little bit of extra growth. And then we have a big choice: do we let that flow through or do we take those resources and in some way put them to work, again to help customers. And that's a choice we don't have to make right now. That something that I would tell you is probably a couple of years away, to be realistic. It's not something that's just around the quarter. And it may be 3 or 4 years away. But thank you for asking about it.
John G. Russell: Greg, If I could just build on that just for a moment. One of the reasons I referred to it as a race car, the big plant has basically a 0 book value and has a great heat rate. So not only for capacity, but for energy. I think it's in the 7,000 range for heat rate so it is a very attractive plant that, so far, we haven't really planned a lot on, although Tom said we do have some contracts. It certainly hasn't been high on our radar screen and it won't be until capacity prices come back and we see the shift from coal to gas.
Thomas J. Webb: Remember there's some choices in there. It's a 2 combined cycle units of 250 megawatts each and a peaker as well.
Operator: And the next question is from the line of Brian Russo of Ladenburg Thalmann.
Brian J. Russo - Ladenburg Thalmann & Co. Inc., Research Division: Most of my questions have been asked and answered. But just curious, the bill that Jackson City Council voted against is -- are you referencing House Bill 5184?
John G. Russell: Yes, yes. It was a resolution they passed last night, Brian, that -- a unanimous vote on the City Council that was a resolution opposing the Bill. So I think it sends a pretty strong signal to the representatives from Jackson that House Bill 5184, their -- our position on it.
Brian J. Russo - Ladenburg Thalmann & Co. Inc., Research Division: Okay. So it's been introduced, but it hasn't moved -- hasn't gained any traction in the House or Senate as of now, right?
John G. Russell: No, no, no. Haven't gone anywhere. But what I -- what we want to make sure the representatives understand is what people think about that in Jackson. And I think it's pretty strong statement that was made yesterday, in addition to hundreds of letters from residents and customers about opposing that Bill.
Brian J. Russo - Ladenburg Thalmann & Co. Inc., Research Division: Okay. And then you mentioned your stellar performance during the previous storms and I know there's an ongoing ice storm, formal investigation by the MPSC. If you could just comment on the -- or just update us on that, that'd be great.
John G. Russell: Yes, there was -- it's DTE, us and they don't control the municipalities or regulate the municipalities. But there was -- were some issues here with a muni that was having a little bit harder time than us restoring the customers. So at the end of the day, what the Commission decided to do is investigate it. I think what you'll find is, as I said in the call, I'm very proud of the employees, the response that we did. It was the worst ice storm in our 126-year history. The employees worked tirelessly to get through this. And the media coverage was very good for us -- very good, it was good for us, very fair and balanced and good for us. The employees responded, the customers were patient and I certainly appreciate that. So I think at the end of the day, the hearings will show that we did the right things. We did -- got all the crews we possibly could to get in. Our communication was good. I think what they're going to try to find is just validate that. We were doing the right things in the storm. And I hope to never have a storm like this. TIME really illustrated it well the last week of the year. It was a brutal storm. And I've been in this business a long time and I've never seen that much ice and that many workers. I mean, we had around 4,000 people working on Christmas day. That is a hell of a commitment on behalf of the company and all the people. The other utilities, which I do want to thank the other utilities because they sent the crews over from far away to work on Christmas Day, and I think we did pretty good and I think that'll show in the investigation.
Thomas J. Webb: Brian, let me just add, anytime we have storms of this magnitude, particularly back-to-back, it's a very routine thing for the Public Service Commission to do an investigation to make sure resources were brought to bear, all the right things were happening. So we're wide open. We've provided all the information during the storm, kept our commissioners and staff informed on what was happening. And they're appropriately doing an investigation to make sure customers were taken care of well.
Operator: The next question is from the line of Mark Barnett of Morningstar.
Mark Barnett - Morningstar Inc., Research Division: A quick question on the -- one particular element that we may see some changes on in 2015. On the renewables, you look like you'll be fine to meet your initial goal and then there's a chance, I guess, that the next time they look at the levels of the RPS or whatever they choose, there might be a higher amount for CMS to need to supply. And I know you have a placeholder in your opportunity level for that number, but it's not really a very big number. Is this because there's already going to be capacity out there for you to maybe sign contracts with? Or can you maybe talk me through how that might take shape?
John G. Russell: Yes, let me start with that and maybe Tom and I can tag team on this one. First of all, the one thing that's important, I want to make sure we emphasize to everybody, what the Governor is talking about in his policy, his energy policy for the future, is a target date of 2025. So that provides a lot of time to be able to meet a new renewable energy standard, whatever that is. One of the things, I think, people forget about the targets that we have in Michigan is that some people think that they're not that aggressive. And I just want to make sure we're clear on that. We've get the second most aggressive renewable energy standards in the Midwest and we are going to meet all those. And the reason they're more aggressive is, yes, they're only 10%, but they're 10% by 2015. Some other states have 20% by 2020, 30% by 2030. Those are long term -- long time frame out. What we've done is we've actually moved forward to hit both the capacity and the energy targets that are required here. Moving forward in the plan, though, I would think that our basis for meeting it, whatever that will be, we'll have plenty of time to do it and we will own it versus long-term contracts.
Thomas J. Webb: Yes. And what I think you're referring to when you took a look probably at Slide 24, we show about $300 million set aside for higher renewables. That's not in our plan. So that's the size of what we've done with about half of our build today. So we're suggesting that you might see something go up from the 10% to half again as much. But we don't know. So let's just say that the standard goes from 10% to 20% and it's on the same basis. It may be completely different basis. With that would just be more opportunity for investment that we'd have to figure out how to contain.
Mark Barnett - Morningstar Inc., Research Division: And you're fairly confident. I mean, again, these are long-term projections. So it's a bit of a finger in the air that you would be able to self-build or instead of maybe looking at contracting?
Thomas J. Webb: There will be no worries.
John G. Russell: Oh, yes.
Thomas J. Webb: I mean, it depends on the size. If somebody says the new standards is going to be 50%, I'd say there'd be a worry. But if it's a reasonable progression, I think that we're -- I think the team's proven they're very capable of putting these, particularly the wind farms, into place and things of that kind. So no issue and we would do whatever we are directed to, either through legislation or regulation on how much of it we build.
Mark Barnett - Morningstar Inc., Research Division: All right. One last item. You'd mentioned last year briefly that you were taking a look at some transmission ownership. And I'm just curious if that's anything that you've done any work on since then? I'm sure you have, but anything that you would talk about on that front that might pertain to your system?
John G. Russell: Yes, we continue, as we talked about, I think, in the last call or even in -- when we're in Grand Rapids together, we're working on it. It's slow, it's small. Again, it's just transferring some of the operations from the 138,000-volt system and it really is just a relatively small thing. And they have some potential in the future, as you talked about. If renewable energy continues to go higher and there's an opportunity to connect some of these wind farms, that's probably where the opportunity is. But right now, slow. It'll take a couple of years till we get the full approval.
Operator: The next question is from Paul Ridzon of KeyBanc.
Paul T. Ridzon - KeyBanc Capital Markets Inc., Research Division: Can you just give a little more detail on this Jackson plant that you've acquired? Like what's its [indiscernible]? Is it going to need capital?
John G. Russell: No. It's built in 2002. Heat rate's about 8,400. It's combined cycle. It's a modular design. It's got great -- or quick start-up, which we're looking for. They've had General Electric contract for maintenance, so it's done on a routine basis. Jack Hanson who runs our supply side, he and his folks have been in there, looked at all the due diligence, that's been done or we've completed the due diligence. It's a good plant. And I didn't say this, but we can see from our building here. So we see the days it runs and it's in good shape. So I'm really pleased that -- it was built well, it has backup transformers, it has backup equipment because they get paid to run and they need to be available. So it's in good shape.
Thomas J. Webb: Minor investment ahead.
John G. Russell: Yes, yes, right.
Thomas J. Webb: Not a lot of capital to add to, so don't put that down as one of the opportunities for growth and capital spending. As we move ahead, if it turns out that we need more capacity, let's say, John's conversation about ROA were to come back, so we'd need more capacity or sales are better than what we expect or who knows what, remember an important comment he made about our Thetford plant. It's on hold. We have an air permit that still lives for a time and we can extend it. It's nothing we're planning to turn around and doing the next 12 months, but it's one of those options that are important to us that if there's further additional need for capacity, we have ways to bring more into place, either by doing this build or purchasing even more capacity if the prices are as attractive as they have been today.
Paul T. Ridzon - KeyBanc Capital Markets Inc., Research Division: As we look at the potential for more renewable, how are you looking at the declining cost of solar versus wind? And what's the suitability in Michigan?
John G. Russell: The wind is clearly the renewable energy fuel source of choice. Solar really does not, based on conditions here, really is not as attractive as wind. The other thing, too, for wind and I guess it's any renewable resource that we've seen here, you really have to base it on scale. I mean, the scale is where you get near competitive -- not exactly competitive, but nearing competitive rates. Our wind farms are doing well, one that we're just building now, Cross Winds, on the east side of the state should have a very good capacity factor. I think it's important, Paul, you know this, but for everybody. I mean, Michigan's on a peninsula. So the wind regime here is good. But being close to all the lakes, surrounded by lakes, we also have a lot of clouds here. So it really does favor wind turbines at a scale size versus solar.
Operator: The next question is from the line of Paul Patterson of Glenrock Associates.
Paul Patterson - Glenrock Associates LLC: Just really a few clarifying questions, and I'm sorry to be a little slow on this, but on Page 27, there are a couple of things going on with the without and with and I just want to make sure I understood it. The dotted line represents what exactly versus the blue solid bar versus the -- could you just go over that a little...
Thomas J. Webb: I would be happy to. So if you look at 2010 through 2014, all of those dotted blue bars, those are energy efficiency. So if you will, let's just pick a year. In fact, let's just pick the year 2014. We expect that the economy will be strong enough that sales will be up 2.4%. But we're going to turn right around and help our customers be more efficient. So we're forecasting that actual sales would be up 1.4%. So the difference in that dotted area is all about energy efficiency. So let me just get that part clear first, is that okay? And then I'll take the second bite.
Paul Patterson - Glenrock Associates LLC: Okay, let's go. Sure.
Thomas J. Webb: Okay. Now the second bite is something that's subtle that we can't talk a lot about because of our contractual agreements. But we do have a very narrow customer class that we refer to here as E1. It's a class where we don't make any money and it's a class where, unfortunately, there was little volatility in sales. So their sales, if you look at 2013, fell down enough that it drove our overall sales down to 2.9%. If you exclude them, then our sales were flat. Forget EO, just sales were flat. In 2014, what we want you equally to know, they have a good recovery underway and we've already seen the recovery beginning at the end of last year and this year. Their recovery would drive our sales up 1.4%. Without them, we'd be about 0.5% growth. And so that's called without E1. So here's how I look at it real clear. Forget energy efficiency. it is what it is. Last year, our overall sales were flat. And this next year, we expect our sales to be up about 0.5%. If you do include E1, which will be in our numbers, you'll see that they'll be up about 1.5%. We try to stay conservative on our forecast so that when we get surprises, they're on the upside. I hope that wasn't too confusing, did that help?
Paul Patterson - Glenrock Associates LLC: I got it, and I think you've explained it before. For some reason, it was -- I appreciate [indiscernible]
Thomas J. Webb: Don't worry. No, it's a little tricky. We don't like all the adjustments. We just wanted to be clear.
Paul Patterson - Glenrock Associates LLC: Okay, got you. And then back to Greg's question about the race car thing. Realistically, I mean, you said that you had some contractual obligations, I think, associated with the 700 megawatts in Dearborn. When will those go away? And I mean, do you guys have any forecast on the capacity market or anything like that?
Thomas J. Webb: Well, we do. But forecast aren't very meaningful in my view on the capacity side because it's like me forecasting interest rates. For 10 years, I told you they'd be up, well, I'm finally right. So if you just give me a decade or two, I'll be right. Or some people say, the watch will be right twice a day or something like that. In your specific question, though, about Dearborn Industrial Generation and our earmarks [ph], we do have some near-term contracts, not really long in nature, but we will be looking at contracting the 2 combined cycle units, 250 megawatts each, and the peaker as we move further into relationships with our customers that can support them and capacity prices that made more sense. So there's nothing encumbering us today. Don't think of it that way. There's nothing holding us back except our own patience about the market.
Paul Patterson - Glenrock Associates LLC: Okay. Well, if these are such great plants and what have you and looking what you just did with Jackson, why aren't they candidates for what you just did with Jackson?
Thomas J. Webb: Good question. We don't -- it's something that you could do. We could easily take that plant and bring it into the utility. But there's a couple things going here: one, it's got a long history inside the company and we have avoided trying to create the debate and discussion about dropping that plant into the utility and seeking the Public Service Commission. So we haven't had that debate. But we also like the idea, the flexibility of that plant sits outside. It gives us a lot of opportunity as we go forward: one, as the capacity markets come back up, we can put it to good use in the open market, like an IPP would; two, if we get squeezed and we don't have options that are good enough, quick enough, we can turn it around and go to the Public Service Commission and say that we'd like to contract it into the utility or we would like to drop it into the utility. We have no plans of that kind. We have that nice optionality, and we think that's good for everybody.
Paul Patterson - Glenrock Associates LLC: Okay, I got you. And then you mentioned that you guys did pretty well in, I think, during the storms and stuff, but there was a small company that I think at least you beat them to the press. They got a little bit -- it didn't seem to do so well. And I'm just wondering are there any opportunities to help one of these companies, maybe any consolidation opportunities or service opportunities there'll be more revenue for you? I'm just thinking, I don't know, when I saw that, I was just wondering.
John G. Russell: The company you're talking about is Lansing Board of Water and Light. And the reason it was pretty evident about the restoration is we surround them. I mean, we're in Lansing, too. They're in Lansing. As far as assistance for them, we provided assistance as we do with other utilities, with mutual systems crews. As far as any opportunity to help and assist beyond that, as far as potential financial transaction, really municipalities, they've got to make that decision. This is something that we've got several municipalities throughout the state. They're very tied to the local area and they do good. We know the people that run it and I think they just had a bad period there with a very catastrophic storm. And one of the things that the advantage of our size is and utilities our size, we can call on other resources and get the crews here and we can afford those last week-of-the-year problems. And sometimes if municipalities are a little smaller, they don't have the resources that we do. But as far as financial transactions, we like the plan that we have here and we believe, as Tom and I have talked about, we can continue to grow this business at 5% to 7% for the next 5 years with a plan that we have here.
Paul Patterson - Glenrock Associates LLC: Okay. And then just finally, there's a small item with respect to the demolition and the securitization order and I believe that that wasn't granted in the securitization order, and I just I notice that you guys didn't have anything in the quarter about it. I don't know, could you just elaborate a little bit...
Thomas J. Webb: No, that's a fair question. It was viewed by some sort of a future cost. So therefore, rather than securitize it today like you take the book value and the recovery of that, we will put that into our normal depreciation filings and to our normal process. Nothing unusual. Fair request by the Public Service Commission. We'll still get recovery of those costs, at least we assume we will, as we go through time with a regular process that you would have on demolition costs. So no Issue.
Operator: The next question is from the line of Kevin Cole of Crédit Suisse.
Kevin Cole - Crédit Suisse AG, Research Division: I just guess with the Jackson plant being 150 megawatts smaller than Thetford, can you talk to the magnitude of shortfall that you expect in 2016 and how you expect to backfill that capacity?
John G. Russell: Yes, I mean, at the end of day, we are a little bit lighter than the 120 or 130 megawatts that we would have done if we would have bought it. What we are doing, though, is the renewable energy plant, Cross Winds, will be operational at that point. We're also upgrading our Ludington Pumped Storage facility by about 300 megawatts over the next several years. And, as you know, I think we've talked about this, our strategy is never to have 100% owned capacity to meet our load. I just think that puts you on a long side of a volatile market. And so that's not the position we necessarily want to be in. So we will be buying capacity from the market, which I think is the right thing to do. And as Tom talked about for DIG and things like that, there may be opportunities there and so forth. But based on what we've seen over the past several years, I'd rather be short in this market than long in this market. So we're a little short, about 100 mega megawatts here and there based on our load of up near 9,000 is really pretty small.
Kevin Cole - Crédit Suisse AG, Research Division: And then how long can you defer without losing the air permit?
John G. Russell: About -- we've got an 18-month permit and it can be extended another 18 months, so into, I think, it's '16. And then at that point, if for some reason it did sunset, as we've said before, Thetford's a great site for us to build a natural gas plant. And I don't expect, this is my opinion, that if we did this permit sunset and we have to go back for another it would be that big a deal.
Kevin Cole - Crédit Suisse AG, Research Division: Okay. The DIG capacity market, you were referring to the PJM capacity market, correct?
John G. Russell: Both. Tom was referring to both PJM and MISO.
Thomas J. Webb: Absolutely.
Kevin Cole - Crédit Suisse AG, Research Division: And then how much is currently bid into your last PJM auction? And is there anything bid into the MISO capacity auction?
Thomas J. Webb: In the PJM auction, we just put one of the combined cycles in, so that's all we have committed. And we have to make a decision on what we do for -- this May for the next year.
John G. Russell: A couple of hundred.
Kevin Cole - Crédit Suisse AG, Research Division: And then, John, you described, I guess, 2014 being the year of discussion and debate on energy policy.
John G. Russell: Yes.
Kevin Cole - Crédit Suisse AG, Research Division: How much attention has energy policy garnered, thus far, in the election? And then can you kind of step back and talk to the views, I guess, Governor Snyder's view versus Mark Schauer's views on how they -- on where they might contrast with regards to renewables or choice?
John G. Russell: That's a good question. As far as energy policy in being a debate for the election, I don't think it's going to exist. There's only one bill that's out there and it has few sponsors and it's just not a topic that people want to talk about today. So I don't think that's going to be an election topic. Between Governor Snyder and Mark, I mean, they're both -- Governor Snyder's policy as he's talked about is measurable and achievable. So moving it forward, but also he's a very accountable person so he wants to make sure he is metric-driven, that whatever we're doing, we're making the steps to get to the end. He's very business oriented, which is good. I haven't talked to Mark Schauer about this. I did when he was on office. He represented us. I think all of you know he represented the Jackson area. We know Mark very well. I think Mark...
Thomas J. Webb: This has not been a topic.
John G. Russell: So the last I talked to Mark about this, he was in favor of renewable energy, doing more renewable energy, energy efficiency. But it has not been a topic for the election. So I'll just tell you those really are comments from talking to him in his previous position as a legislator.
Kevin Cole - Crédit Suisse AG, Research Division: Okay. And the last question. For the 2014 election, are there any like valid initiatives or anything like that, that we need to be aware of?
John G. Russell: I'm not familiar, are you? I'm not familiar of any. Yes, and generally, you'll get those closer to the election time frame. So no, I'm not familiar with that anything yet.
Operator: The next question is from Andrew Levi from Avon Capital.
Andrew Levi: Just a quick question on the big plant or your stingray or Ferrari or whatever. But were there any opportunities in the first quarter or January with the extreme pricing in PJM to capitalize that? I mean, I don't know how contracted the plant is? The benefit?
Thomas J. Webb: No, in the very near term, we do have agreements and contracts where we protect ourselves, and therefore, we limit the size of the upside, and of course, we limit any downside. There is some upside because we can run the plant a little more than what we have in contract. So small upside. I wouldn't look at that as anything big for 2014.
Andrew Levi: Okay. So you weren't really able to capitalize on the extreme pricing?
Thomas J. Webb: Well, a little bit, so limited amount. Not a lot.
Operator: And the next question is from Andrew Weisel of Macquarie Capital.
Andrew M. Weisel - Macquarie Research: Just got 2 quick ones. The first, on the rate case, can you just give us a little more detail as to when we should expect the filing relative to -- start with that one.
Thomas J. Webb: So let's focus on electric because I think that's where the keen interest is. We've made no changes to our plans that we announced last year where we deferred the rate case into a test year for 2015. So we haven't actually scheduled anything yet, but more toward the end of 2014. We'd probably be making a filing for something in 2015. And what's really nice about what John just described with the purchase of this plant in Jackson is that sits in there perfectly. We probably will use that rate case process to get that plant approved and into the rate base. And again it fits nicely, so that we'd have a final order by the end of 2015, early 2016 latest. And that would give us our next rate case, but nothing happening during the course of 2014. And gives as the plant when we need it. So it just fits so nicely and it's one of the things that we liked with this particular transaction.
Andrew M. Weisel - Macquarie Research: Okay, great. And then the other quick one I had was about a year ago, you had talked a little bit about the propane-to-gas conversions. I see that you have that listed now as one of the opportunity level things that are not in the case plan. Any updates on either progress you've made or interest you've seen or how we should think about that as part of the $1 billion that you have pegged as an opportunity?
John G. Russell: Yes, This is John. It's really going well. I mean, a couple key -- that's the connect, as I call it. Propane prices, there's a shortage today. There was an emergency -- state of emergency -- energy emergency stated by the governor here in Michigan. Wisconsin had the same issue due to the shortage of propane, not just the price but the shortage. So customers are really able to save, in our case, about $1,200 a year. We're seeing some interest in the legislature, particularly in Michigan house to begin to work towards getting pipelines expanded into areas that don't have natural gas but have propane. And one of the reasons that this -- for your information, one of the reasons that propane shortage has occurred in the Midwest is because many of the grain dryers, the farmers that were drying the crops from last year, what caused that to happen as they used a lot more propane than expected because it was a wet year and they had to dry the crops. Now it happened is there's a shortage and we have the cold winter and the prices are higher. So what Michigan legislators are looking at, there is plenty of natural gas. We've got safe and reliable pipelines. How do we extend those pipelines out to those big users, which are the grain dryers and then connect the customers along the way. So we're currently working on that with the legislature. I think there's good opportunity to grow this business in the future.
Operator: Sir, we have no further questions in the queue.
John G. Russell: All right. Well, let me wrap this up by saying 2013 was another very good year of performance for CMS Energy. Building on the 2013 results, we expect to have another strong year in 2014. And as always, both from Tom and I and the team, we really appreciate your interest in the company. So thank you for joining us.
Operator: This concludes today's conference. We thank everyone for your participation.